Operator: Good morning, and welcome to Logan Ridge Finance Corporation’s First Quarter Ended March 31, 2025 Earnings Conference Call. An earnings press release was distributed yesterday, May 8, 2025 after the close of the market. A copy of the release, along with the supplemental earnings presentation is available on the company's website at www.loganridgefinance.com in the Investor Resources section and should be reviewed in conjunction with the company's Form 10-Q filed with the SEC. As a reminder, this conference call is being recorded for replay purposes. And please note that today's conference call may contain forward-looking statements which are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of numbers of factors including those described in the company's filings with the SEC. Speaking on today's call will be Ted Goldthorpe, Chief Executive Officer, President and Director of Logan Ridge Finance Corporation; Brandon Satoren, Chief Financial Officer; and Patrick Schafer, Chief Investment Officer. With that, I would now like to turn the call over to Ted Goldthorpe, Chief Executive Officer of Logan Ridge Finance Corporation. Please go ahead, Ted.
Ted Goldthorpe: Good morning. Welcome to our first quarter 2025 earnings call. As mentioned, I am joined today by our Chief Financial Officer, Brandon Satoren; and our Chief Investment Officer, Patrick Schafer. Following my opening remarks, Patrick will provide additional details on our investment activity to date, and Brandon will walk through the financials. Following record results in 2024, Logan Ridge continued to make significant strides in strengthening its portfolio despite the large write-down on the company's legacy term loan to Sequoia Healthcare. Notably, during the quarter, the company grew its portfolio with net deployment and as previously announced, Logan Ridge continued rotating out of legacy equity portfolio with the successful exit of its second largest non-yielding equity investment in GA Communications. This exit stands as another important achievement in our long-term strategy to rotating out of the legacy equity portfolio, which has now been reduced to just 10.8% of our portfolio at fair value, down from 13.8% as of the prior quarter and 18.2% in the first quarter of 2024. Looking forward, with the continued monetization of the legacy equity portfolio, we believe the company is well-positioned to continue to grow earnings and increase long-term shareholder value as we navigate this dynamic market shaped by renewed uncertainty, increased market volatility and shifting geopolitical dynamics. Finally, we remain very excited about the opportunities that the combination with Portman Ridge presents. This transaction offers the potential for increased scale, improved liquidity and enhanced operational efficiencies, all of which will strengthen our ability to deliver greater value to shareholders. Combination of these companies represents a significant milestone and is a culmination of years of work to reposition the portfolio that BC Partners Credit has executed since taking over as the external manager in 2021. We encourage all shareholders to attend the meeting and vote for the proposed merger, as recommended by the Board of Directors of both companies. We are excited about the road ahead and look forward to sharing more updates soon. With that, I will turn the call over to Patrick Schafer to discuss our portfolio and investment activity.
Patrick Schafer: Thanks, Ted. Hello, everyone. As of March 31, 2025, the fair value of Logan's portfolio was approximately $169.6 million with exposure to 59 portfolio companies. This compares to 59 portfolio companies with a fair value of approximately $172.3 million as of the prior quarter. As Ted mentioned, during the quarter ended March 31, 2025, we continue to be selective in our investment strategy. We deployed approximately $15.1 million into new and existing investments and had approximately $12.5 million in repayments and sales, resulting in net deployment of approximately $2.7 million for the quarter. On portfolio composition, as of March 31, 2025, 71.8% of the company's investment portfolio at fair value was invested in assets originated by the BC Partners Credit platform, up from 66.7% at the end of last quarter. Also, as of March 31, 2025, our debt investment portfolio represented 86.6% of the total portfolio at fair value with a weighted average annualized yield of approximately 10.7%, excluding income from nonaccruals and collateralized loan obligations and 90.7% of our debt investment portfolio at fair value was bearing interest at floating rates. Additionally, as of March 31, 2025, first lien debt represented 66.7% and 67.6% of our total portfolio on cost and fair value basis, respectively, while the equity portfolio was reduced to 12% from 10.8% of the portfolio on a cost and fair value basis, respectively. The reduction in the equity portfolio on a fair value basis during the first quarter of 2025 as compared to the previous quarter was due to the exit of our second largest non-yielding equity position in GA Communications, marking another milestone for our long-term strategy to rotate out of the legacy equity portfolio. On to non-accrual status, as of March 31, 2025, the company had four debt investments across three portfolio companies on non-accrual status with an aggregate and amortized cost and fair value of $17.2 million and $3.7 million, respectively, or 8.7% and 2.2% of the investment portfolio at cost and fair value, respectively. This has remained consistent with the fourth quarter of 2024 with the same four debt investments in three portfolio companies with a cost and fair value of $17.2 million and $7.9 million, respectively, or 9.0% and 4.6% of the investment portfolio's cost and fair value, respectively. I'll now turn the call over to Brandon.
Brandon Satoren: Thanks Patrick. For the quarter ended March 31, 2025, Logan Ridge generated $4.6 million of investment income, which represents a $0.8 million decrease or $0.29 per share as compared to $5.4 million reported for the quarter ended December 31, 2024. The decrease in investment income on a per share basis from the prior quarter was primarily driven by: one, a decrease of $0.17 per share as a result of lower non-recurring pay down and fee income; a decrease of $0.05 per share from lower base rates; a decrease of $0.05 per share as a result of the majority of the current quarter's deployment occurring in the second half of the quarter relative to the timing of repayments and sales; and five, a decrease of $0.02 per share in CLO income. For the quarter ended March 31, 2025, Logan Ridge reported $3.7 million of operating expenses, which represents a decrease of $0.2 million or $0.08 per share from the prior quarter. The decrease is primarily due to a decrease in interest and financing expenses in addition to lower base management fees and general and administrative expenses compared to the prior quarter. Accordingly, net investment income for the first quarter of 2025 was $0.9 million or $0.35 per share, which represents a decrease of $0.6 million or $0.21 per share compared to $1.5 million or $0.50 per share that Logan Ridge earned in the fourth quarter of 2024. As of March 31, 2025, our net asset value was $78.8 million, representing a decrease of $6.3 million or 7.4% as compared to the prior quarter net asset value of $85.1 million as of December 31, 2024. On a per share basis, the company's net asset value was $29.66 as of March 31, 2025, representing a $2.38 per share decrease or 7.5% as compared to $32.04 per share in the prior quarter. The decrease in net asset value from the prior quarter was largely due to the $4.4 million write-down on the company's legacy investment in Sequoia, which has been on non-accrual since we began managing the portfolio in 2021. Finally, as of March 31, 2025, the company had $5.1 million in cash and cash equivalents as well as $31.5 million of unused borrowing capacity available for deployment in new investments. With that, I will turn the call back over to Ted.
Ted Goldthorpe: Thank you, Brandon. To our shareholders, thank you for your continued support. This concludes our prepared remarks, and I'll now turn over the call to the operator for questions.
Operator: [Operator Instructions] And our first question comes from the line of Christopher Nolan with Ladenburg Thalmann. Christopher, please go ahead.
Christopher Nolan: Hey guys. With the pending merger with Portman, assuming it goes through, does that entail a full valuation review of Logan's investments?
Patrick Schafer: Yes, similar to any of the M&A deals that we've done, you have to strike a new NAV for both Portman and Logan within 48 hours of share issuance. So the short answer is yes.
Christopher Nolan: Okay. So the entire portfolio for both companies is basically revalued. Is that done by an outsider, outside organization with the Board? Or how has that done?
Patrick Schafer: It's generally done consistent with our practices. So for – to the extent, depending on the timing, we'll have third-party marks for certain of the names. We'll do all the liquid pricing. We'll do our own internal models. I would think of it as kind of a regular way process for us.
Christopher Nolan: Okay. The only reason I ask all this is just because of all the uncertainty in the economy, is this one of these things where the discount rate can be increased more than otherwise, things like that?
Ted Goldthorpe: I mean the short answer is it's linked to liquid benchmarks usually, which, quite frankly, have been relatively muted, right? So like credit really hasn't widened that much since the last quarter. So we don't think there'll be a huge impact and it impacts Logan, it will impact Portman as well.
Christopher Nolan: Okay. That's it for me. Thanks guys.
Ted Goldthorpe: Next question?
Operator: [Operator Instructions] And your next question comes from the line of Steven Martin with Slater Capital. Steven, please go ahead.
Steven Martin: All right. Thanks a lot. I'll ask the same question here. Can you talk about the non-accruals and what the prospect is for recovering some of that? And what's left in the portfolio that has that kind of risk? Because you talked about what you inherited when you took over the portfolio, but the NAV was about $42 a share then, and it's $30 now?
Patrick Schafer: Yes. So Steve, I would say like far and away, the biggest asset in the non-accruals has always been Sequoia. So I think from that perspective, I don't think we expect sort of meaningful recovery and sort of a turn back on of interest from that one. Again, it's been on non-accrual since even before we took over management. So I would think, generally speaking, that I would say there's not a lot of incremental upside from the non-accrual book converting onto accruals. With respect to the rest of the book, I mean, again, as we kind of in the notes, over 70% of the portfolio is originated. And then 10% of equity portfolio, which is largely sort of legacy [indiscernible]. So if you think about it, there's maybe 20% – a little bit over 20% of the portfolio that is sort of legacy capital [indiscernible] names and the vast majority of that is an investment in Eastport, which is generally performing pretty well and pretty stable. So I would say there's probably not a ton of risk on sort of the legacy capital portfolio from a nonaccrual perspective, but acknowledge that we do have sort of one – there is one large position on the debt side, but that is generally performing well.
Steven Martin: Okay. And you guys have sourced 75%, 80% of the book now of the debt book. Are any of your – are any of the BC loans in nonaccrual? And what's the status of the BC loans?
Brandon Satoren: Yes. So in terms of BC names on nonaccrual, so – and again, there are three. It's MMI, [ph] which is a legacy name, Sequoia legacy name and then Lucky Bucks, which has been on nonaccrual for close to two years now.
Patrick Schafer: And that would be a BC name. So the answer is one of three.
Steven Martin: And what about – in general, obviously, you don't have this probably at hand. If you looked at the BC sourced book, what is the discount to par? Or how would you characterize the mark on the BC sourced book?
Patrick Schafer: Yes. I mean the short answer is I have to get back to you with the specific one. The long answer is if you strip out Lucky Bucks, which is kind of on the nonaccrual, I think there's maybe one name that I can think of off the top of my head that is marked at something that is less than sort of 90, and that would be Datalink, which is in the high 80s. And then we do have some liquid names in the book similar to Portman. So again, I can get back to you, Steve, with the number. I don't have one off the top of my head, though.
Steven Martin: Okay. Thanks a lot.
Operator: That concludes our question-and-answer session. I would now like to turn the call over to Ted Goldthorpe for closing remarks. Ted?
Ted Goldthorpe: Thanks, everyone, for joining us today. We'll continue to provide our shareholders with updates about the proposed merger with Portman Ridge as those become available. As always, please reach out to us with any questions, which we're happy to discuss. We look forward to speaking to you guys again soon. Thank you.
Operator: That concludes today's conference call. You may now disconnect.